Operator: Good afternoon. Thank you for attending the OUTFRONT Media Fourth Quarter 2024 Earnings Call. My name is Cameron, and I'll be your moderator for today. [Operator Instructions] And I would now like to pass the conference over to your host, Stephan Bisson may proceed.
Stephan Bisson: Good afternoon, and thank you for joining our 2024 fourth quarter earnings call. With me on the call today are Jeremy Male, Matthew Siegel, and Nick Brien. After a discussion of our financial results, we'll open the lines for a question-and-answer session. Our comments today will refer to the earnings release and slide presentation that you can find on the Investor Relations section of our website outfront.com. After today's call has concluded, an audio replay will be available there as well. This conference call may include forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are listed in our earnings materials and in our SEC filings, including our 2023 Form 10-K as well as our 2024 Form 10-K, which we expect to file this week. We will refer to certain non-GAAP financial measures on this call. Any references to OIBDA made today will be on an adjusted basis. Reconciliations of OIBDA and other non-GAAP financial measures are in the appendix of the slide presentation, the earnings release, and on our website, which also includes presentations with prior period reconciliations. With that, let me now turn the call over to Jeremy.
Jeremy Male: Thanks, Stephan, and good afternoon, everyone. We're pleased to be here sharing our fourth quarter results and 2025 outlook. Before diving into the Q4 details, I'd like to quickly highlight some of our accomplishments during 2024. Organic revenues, which exclude the results of our Canadian business in both '24 and '23, finished up about 4% year-over-year. Our billboard revenues were up 3% for the year, with growth being driven by both higher static and digital. We continue to realize significant growth from our automated sales platforms, which grew from 14% of our digital billboard revenues in 2023 to 20% of our digital billboard revenues in 2024. Our transit revenues rebounded nicely in 2024, up nearly 9% for the year. The New York MTA led the charge here, growing by nearly 12% during the year, helping transit adjusted OIBDA to improve by nearly $20 million and returning the segment to positive territory. 2024 AFFO grew 11.5% nicely ahead of the high single-digit guidance we provided this time last year. In June, we closed the sale of our Canadian business for approximately $300 million and utilized essentially all of the proceeds from the sale to reduce our leverage, which ended the year at 4.7 times, down from 5.4 times at the end of 2023. Turning now to our fourth quarter results, you can see the headline numbers on Slide 4. Organic revenues grew 3.9%, a little ahead of the guidance we provided in November, while OIBDA was $155 million and AFFO was $119 million. Slide 5 shows our segment results with billboard growing 2%; transit growing just over 9%; and other, which now principally consists of digital equipment sales growing by $1.4 million. Slide 6 shows our detailed billboard revenue growth, the 2% top line growth was driven primarily by higher rates, though occupancy was up during the quarter as well. Digital billboard was up 4.7%, while static was up slightly. Notably, these numbers include the impact of the marginally profitable contract that we exited in October, which we estimate cost us over 100 basis points of growth. Slide 7 shows our detailed transit revenue growth. The 9% top line growth was driven by 12% growth in our digital revenues and 7% growth in our static revenues. As has been the case for much of the year, the MTA continued to perform well, up 13%. On a consolidated basis, our stronger categories during the quarter were technology, political, and financial. The weaker categories during the quarter were CPG, health and medical, and alcohol. Slide 8 shows our combined digital revenue performance with revenue growing almost 7% in the quarter and digital revenue representing nearly 36% of the total, up from 34% last year. Total digital automated sales, which include our programmatic and digital direct products across both billboard and transit, the latter of which we launched in the first quarter of 2024, were up over 40% during the period and represented nearly 17% of our total digital revenues, up from just under 13% last year. The breakdown of local and national revenues in our U.S. business can be seen on Slide 9. Local grew by just under 1% during the quarter, while national grew a strong 7%. The strength in our national book of business was primarily driven by the tech and financial verticals. Slide 10 shows our solid billboard yield growth, which was up about 5% year-over-year to nearly $3,150 per month. The drivers of this were static yield growth, which was up about 4%, and our continued digital conversions. With only 4.9% of our total billboard inventory digitized, we remain confident of continued digital growth. With that, let me now hand it over to Matt to review the rest of our financials.
Matthew Siegel: Thanks, Jeremy, and good afternoon, everyone. Before getting to the detailed financials, I'd like to say a few words about my friend and colleague, Jeremy Male. Towards the end of last year, you may have noticed he announced his retirement from OUTFRONT. In his nearly 11 years as CEO, Jeremy navigated the company through its separation from CBS with its initial public offering, the subsequent conversion to a REIT corporate structure, a rapid digitization of assets and a pandemic that produced the most challenging operating environment the out-of-home industry has ever seen. OUTFRONT would not be the industry-leading company it is today without his vision and leadership and all of us here wish him well in all his future endeavors. Now let's turn to our financial statements. Please look at Slide 11 for a more detailed look at our billboard expenses. In total, global expenses were up a little under $2 million or less than 1% year-over-year. Billboard lease costs were down almost $6 million or about 5% due primarily to the exit of the billboard portfolio in New York that Jeremy mentioned earlier and lower payments on revenue share leases. Posting maintenance and other expenses were up a little under $5 million or 14% due to higher maintenance and utilities costs, compensation expense, and production costs. Included in this increase was approximately $2 million of storm-related costs in the Southeast. SG&A expenses rose under $3 million or 4.3% due to higher commissions and network costs. These expenses, combined with the 2% billboard revenue growth Jeremy described earlier, led to billboard adjusted OIBDA rising nearly $6 million or almost 4%. We are pleased to see billboard adjusted OIBDA margin increased by 80 basis points year-over-year to 40.3%. Turning to transit on Slide 12. In total, transit expenses were up $1.4 million year-over-year. Transit franchise expense was up under $0.5 million or less than 1% as contractually obligated increases to the MTA were partially offset by lower payments to other franchises. Posting maintenance and other expenses were up just under $2 million due primarily to maintenance and utilities costs and higher compensation. SG&A expenses fell by approximately $1 million or 5%, primarily due to lower professional fees. Combined with the 9% transit revenue growth described earlier, transit adjusted OIBDA rose over $8 million with the $22 million of adjusted OIBDA generated in the quarter, it is nice to see this segment return to profitability for the full year. While on transit, I'd like to take a moment to update some of our expectations for the New York MTA in 2025. Our MAG payments for the MTA will step up by about 4% this year to approximately $156 million given the New York City CPI escalator contained within the contract. We will continue to account for our MTA franchise expense on a straight line basis throughout the year. As we mentioned on our last call, our initial build-out of the MTA digital network is substantially complete. We expect to spend around $35 million this year, principally to replace aged and broken screens. Looking forward, we currently expect that this spend will be in the same range annually through the end of the contract in 2030. Per our quarterly analysis, we remain confident the contract will be both OIBDA and cash flow positive through the end of this period. Slide 13 shows the Company's combined billboard transit and corporate adjusted OIBDA in the fourth quarter. We consider this an important measure given these represent essentially the entire company moving forward. Corporate expense rose by about $2 million, primarily due to higher compensation and professional fees. Combined with the billboard and transit OIBDA I covered earlier, adjusted OIBDA totaled about $155 million, up 8.5% from the comparable measure in the prior year period. Turning to capital expenditures on Slide 14. Q4 CapEx spend was $18 million, including about $4 million of maintenance spend. For the full year, total CapEx was about $78 million, including $6 million related to our divested Canadian business. For 2025, we expect to spend approximately $85 million of CapEx. About $35 million of this total will be for maintenance, which includes $10 million to replace aging digital billboards. We commenced our installation of digital boards in 2007 and while many of our earliest installations still look great, we believe replacing some of these older screens with new state-of-the-art technology will help drive revenue growth. Looking at AFFO on Slide 15, you can see the bridge to our Q4 AFFO of $119 million. The improvement is principally driven by higher billboard and transit OIBDA and lower interest expense, partially offset by lower other OIBDA all of which was related to our now divested Canadian subsidiary. As Jeremy mentioned earlier, we ended 2024 with $308 million of AFFO, nicely ahead of the guidance we provided at the start of the year. For 2025, we currently expect reported consolidated AFFO growth in the mid-single-digit range driven principally by improvement in OIBDA. Please turn to Slide 16 for an update on our balance sheet. Committed liquidity is nearly $700 million, including almost $50 million of cash, about $500 million available by our revolver, and $140 million available via our accounts receivable securitization facility. As of December 31, our total net leverage was 4.7 times, down from 5.4 times at the end of 2023 and well within our four to five times target range. We remain comfortable with our debt stack with our next maturity not until late 2026. Turning now to our dividend. We announced today that our Board of Directors maintained a $0.30 cash dividend payable on March 31 to shareholders of record at the close of business on March 7. We spent approximately $8 million on acquisitions during the quarter, bringing our total for 2024 to just under $20 million. We also spent around $24 million in cash and non-cash consideration to buy the outstanding 49% non-controlling interest in one of our consolidated subsidiary joint ventures, increasing our total spend on adding assets to over $40 million. Looking at our current acquisition pipeline, we expect our 2025 deal activity to remain at a similar level to those seen in the last couple of years. In closing, we accomplished a lot last year and are fully focused on delivering a great 2024. With that, let me turn the call over to our Interim CEO, Nick Brien.
Nick Brien: Thank you, Matt. Before sharing some of my thoughts, I know this is where we traditionally provide quarterly guidance I will share our current thinking on the first quarter, which is that we expect quarter one revenues to be slightly up relative to last year with billboard flattish and transit up in the mid-single digits. This guidance excludes Canada, that includes the headwind created by the exit of the New York MTA billboard contract in the fourth quarter of last year, which creates about a 2-point headwind to our billboard growth and about 1.5-point headwind to our total growth. Now I'd like to share some of my thoughts about OUTFRONT. In the two weeks since starting in the CEO role, we've had a smooth leadership transition. I've met a lot of talented people and I've learned much about the company on a more detailed and operational level. What I see is a differentiated organization that is distinct from the pack and has significant additional potential to unlock. Our focus on amplifying the impact of out-of-home, expanding our share of U.S. ad spend, and accelerating our digital capabilities. I'm just getting started but see a very promising road ahead, building upon the strong foundations that Jeremy has created over the last 11 years. And with that, operator, let's now open the line for questions.
Operator: [Operator Instructions] The first question is from the line of Jason Bazinet with Citi. You may proceed.
Jason Bazinet: I just had a quick question, given the congestion tax in New York City and this work-from-home push or work - back to work push by some of the financial institutions. Are you seeing any sort of incremental interest among advertisers for the New York MTA contract or would you say that the tone is very similar to what it was last year?
Matthew Siegel: Hi, Jason, it's Matt. Thanks for the question. First, the congestion pricing, obviously controversial. We'll see where that goes. For us, the MTA was one of our drivers last year of revenue growth and EBITDA. I think revenue grew about 12% and so far it's off to a pretty good start in the first quarter of 2025. So I'm not sure it's caused by congestion pricing or back-to-work or just the good work from our sales force and greater focus, but we're pleased with the last year and a half or so of performance there.
Jason Bazinet: That's great. Thank you.
Matthew Siegel: Thanks.
Operator: The next question comes from the line of Cameron McVeigh with Morgan Stanley. You may proceed.
Cameron McVeigh: Hi. Thanks. I guess, just first, when you're - what in your view was driving the softer than expected local ad growth in fourth quarter? Was that vertical-specific at all? Any color there would be helpful. And then second, for Nick, curious, as you've joined recently, what you're most excited about and what you see as the biggest opportunity at OUTFRONT in the near future? Thanks.
Jeremy Male: Sure, Cam, I'll get you the soft ad growth. Locally, we had very, very solid comps back in '23. So we're lapping that thinking certainly getting more focused and picking-up and plus there is some macro uncertainty in the environment around post-election and things and that's probably impacting some of our midsized business customers, but we see a better pacing in the second-half of this year. Obviously, the numbers are smaller still, but we do see a pickup, you can see that from our AFFO guide. With that, I'll pass it to Nick for what he's excited about.
Nick Brien: Yes. I think that - it's a great question because there is, as I've now, as I said, sort of got more involved in the depth of the resources, it just gives me that confidence that while our portfolio has always been focused and has built around the top 25 DMAs, our portfolio strength is very much supported by the strength of our internal creative resources and we're discovering an excellent creative agency that's fully available and active across so many of our most significant brands, supported by a digital innovation lab that's really offering those significant brand advertisers who really are seeking to find a way to be very progressive in their digital marketing that offers them to integrate the digital out-of-home within the overall campaigns. And I started to see which are datasets that enables us to really be active on a full funnel basis. I mean, the out-of-home industry has always been famous and recognized with brand-building prowess, the ability to really build fame and familiarity for some of the biggest brands in the world. And we have Apple and Netflix and HBO and Louis Vuitton. And those brands they care about the brand, they also care about performance. And ensuring that now we're leveraging our richest datasets and especially in the digital out-of-home space and in those strengths in format like transit, it just gives me greater confidence that we can be that full funnel performance capability from awareness to consideration to transaction, and how we continue to kind of build on that. And that excites me greatly because it's obviously extremely necessary for those significant marketers who want to maintain the strength of the brand and deliver performance results. I hope that answers your question.
Cameron McVeigh: It does. Thank you.
Operator: The next question comes from the line of Daniel Osley with Wells Fargo. You may proceed.
Daniel Osley: Hi, thanks. So your peers have reported seeing some choppiness in national ads growth, but your results would suggest that you aren't seeing the same. So can you speak in more detail on what's driving the strength that you're seeing in national and what your expectation is moving forward? And then you gave us your expectations for Q1, but how should we think about revenue growth for the remainder of the year? And what are some of the major puts and takes that we should consider? Thank you.
Jeremy Male: Thanks, Daniel. So, obviously, I can't comment on what our peers are seeing. We're seeing - we think pretty good national performance and picking-up as we go through the quarter. We have - we give guidance for - we have different DMAs in our markets. We have a strong Super Bowl. In New Orleans, it helps our national business, national performing well in transit and the MTA. So that's, I think all contributing to us that may not be helping our competitors or our peers as much. As far as the rest of the year, I mentioned, we see better pacing as we go through the year. Obviously, the back half of the year is still slower numbers, but we see a better visibility. We don't like to give full-year revenue guidance as you can take from our AFFO guide that we do think we have better quarters in the first quarter in front of us.
Daniel Osley: Thank you.
Operator: The next question comes from the line of Lance Vitanza with TD Cowen. You may proceed.
Lance Vitanza: Hi. Thanks for taking the question. And Nick, I guess, this one is for you. I'm just wondering the timing of your sort of stepping in as Interim CEO is a little bit unexpected. I know that obviously the - Jeremy's retirement was announced earlier and it seemed like there was going to be a process that was going to run. I'm just wondering if you could update us on, if there is a process ongoing, I believe you're still the Interim CEO, if I got that right. So could you update us on where things stand in terms of that process and how we should think about the transition period?
Nick Brien: Yes. The - well, to confirm, I mean, we did say the Board of Directors said there will be a process underway. There is been a subcommittee of the Board formed and that formal search process is underway. And I've been with the company on the Board for a considerable period of time. I'm an industry veteran more on the buy-side than the sell-side having running many significant agency groups at the global level. And Jeremy and I, we discussed that the process, so it can take some time. You can't always predict exactly the nature of that and the opportunity was to ensure that the company has the sort of broadest level of expertise, let's say, and resource and experience that if we were doing that together during the period of the time that the search was ongoing. So that's my responsibility and that's my involvement while the subcommittee of the Board continues working with one of the world's leading recruitment firms to follow the search. So it's going on and we just felt for a number of different reasons with a rapidly changing industry. And you can see the consolidation of the holding companies occurring and the continued dominance of the tech giants that why wouldn't I had some time and availability and excitement and enthusiasm for the business, which I've always had, to work together with Jeremy during this period. So that's what we're doing.
Lance Vitanza: Very good. Thank you so much.
Nick Brien: Okay. Thank you.
Operator: The next question comes from the line of Ian Zaffino with Oppenheimer. You may proceed.
Isaac Sellhausen: Hi, good afternoon. This is Isaac Sellhausen on for Ian. Thanks for taking the question. Just a few questions on the transit business. If you could provide some color on what drove the strength in transit OIBDA from the quarter is part of that strength because of the non-renewal of the loss-making contract previously? And then secondly, I know you mentioned the expectations for growth in transit in Q1. So just wanted to better understand what you anticipate for growth more generally at the MTA or other transit markets this year? Thanks.
Jeremy Male: Isaac, for us, as transit goes, the MTA drives strength in the fourth quarter. It came from the MTA, strong national has been performing very well in all transit, specialty MTA. Remember in the fourth quarter, MTA always turns to profitability because we straight line the expenses throughout the year and the fourth quarter is the biggest revenue driver. But I would say, yes, just a good performance, MTA, very large and that, as I mentioned, that's continuing in the first quarter. We haven't watched any material contracts. We haven't added anything material with the portfolio is performing better than throughout 2024 and into 2025 than it did in 2023, certainly.
Isaac Sellhausen: Okay. Understood. Thank you.
Jeremy Male: Thanks, Isaac.
Operator: The next question comes from the line of Patrick Sholl with Barrington Research. You may proceed.
Patrick Sholl: Hi. Good afternoon. I was just wondering if you could provide a little bit more detail on the pricing - the strength in pricing that you mentioned earlier? And then just on another question on the transit side, if you could provide an update on like where audience, I guess, where ridership is across the portfolio of contracts and how that stands with the various adjustments to like the minimum guarantees on some of the contracts and any sort of yes, just based on the minimal guarantees and I guess, the potential pressure on triggering some of those?
Jeremy Male: Okay. Just - first on pricing, most of our yield growth was driven from pricing. So that's a good sign for us in this - in the current environment. On transit ridership, I think throughout 2024, the MTA ridership was around 70% of where it was, and in 2019 it seems to be melting up, maybe it's from congestion pricing, maybe it's from back-to-work, maybe it's just people are tired of taking Ubers or taxis, I think in January, it was about 73%. So the - not back to where it was certainly, but directionally good. And then just your performance that transit as a better product than it's had in the past, it's more and more digital. All of our big franchises are digital. And I think that's benefiting transit as well. Other things on ridership, MTA, I mentioned it's our biggest - it's our closest recovering ridership to 2019. Some of the other franchises, DC, Boston, San Francisco are behind New York in their ridership recovery. Obviously, we watch them closely. But we're very pleased with the New York performance.
Patrick Sholl: Okay. Thank you.
Jeremy Male: Thanks, Pat.
Operator: [Operator Instructions] There are no additional questions waiting at this time. I would like to pass the conference back for any closing remarks.
Jeremy Male: So, Jeremy speaking, thanks very much for joining us today. Before signing off what Stephan has informed me is my 43rd public earnings call for OUTFRONT. I wanted to quickly thank all of you for your interest in OUTFRONT and indeed the out-of-home industry over the years. I've thoroughly enjoyed the engagement with the investment community over that time and I look forward to our paths potentially crossing again in the future. With that said, I know that Matt, Nick, and Stephan, look forward to presenting Q1 results to you in May and I'm extremely excited for the future trajectory of OUTFRONT. Thank you very much.
Operator: That concludes today's call. Thank you for your participation and enjoy the rest of your day.